Operator: Welcome, everyone, to Barrick's Fourth Quarter 2025 Results Presentation. [Operator Instructions] As a reminder, this event is being recorded, and a replay will be available on Barrick's website later today. I will now turn the call over to Cleve Rueckert, Head of Investor Relations. Please go ahead.
Cleveland Rueckert: Thank you, Mariana, and good morning, everyone. We hope you've had an opportunity to review the press release we issued before the markets opened this morning. This presentation deck is also now available to download on our website. Presenting our results today are Mark Hill, Barrick's President and CEO; and Graham Shuttleworth, Senior EVP and CFO. Other members of Barrick's management team will be available after our prepared remarks for Q&A. Before we begin, please note that we will be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick's future performance and our ability to deliver on these forward-looking statements. This material is also available on our website. I will now hand it over to Mark.
Mark Hill: Okay. Thanks, Cleve, and thanks, everyone, for joining us for this call this morning. We finished the year in very good condition. We delivered on our 2025 operating plan, and this resulted in multiple financial records. We also completed the operational review we discussed last quarter and have taken a number of actions, which I will touch on later. We achieved a resolution to the dispute in Mali, securing the release of our detained colleagues and resuming control of the asset. Record free cash flow allowed us to repurchase $1.5 billion of our shares as well as increasing our dividends. Turning to our performance in Q4, we built on last quarter's momentum and posted strong financial results. As I said, we logged several company records included adjusted earnings per share, cash flow and importantly, shareholder returns. Production increased from last quarter to the highest level of the year, which resulted in an 82% increase in EBITDA versus last year. We increased our base dividend by another 40% and adopted a new dividend policy. Cash flow for the quarter was up 96% from last year, and we locked a year of record annual cash returns to our shareholders. Fourmile continues to grow, and we're excited about advancing this 100% owned gold asset. Finally, consistent with the announcement we made in December and following rigorous analysis, the Board has decided to move forward with preparations for an initial public offering of Barrick's North American gold business assets aimed at maximizing the shareholder value. We are targeting to complete the IPO by late 2026 and we'll keep you updated on progress throughout the year. Turning to Safety and Health, our operational and financial achievements were overshadowed unfortunately last year with 4 fatalities. Last quarter, I made that commitment to making sure safety was our top priority, and this continues to be the company's #1 focus for 2026. Clearly, there's more to be done because Q4 wasn't where we needed it to be. But our highest priority is that all our people go home safe and healthy at the end of each day, and I'll continue to work with myself and the ExCo team to achieve and maintain that goal going forward. Now moving on to the operational highlights. Operationally, our business performed well in Q4. And importantly, we delivered on our guidance to steadily left production throughout the year. Gold production was 5% higher than Q3, driven by a 25% increase at Carlin and quarter-on-quarter increases across the NGM site. Our processing facilities ran well and PV's throughput rose to another record high. Full year gold production of 3.26 million ounces was in line with our guidance. Copper production increased 13% from Q3, driven by higher throughput at Luwmana. Also, as I said before, we completed the operational review we discussed in the last quarter. There's some important outcomes of that. We've now restructured our business units, putting PV in North America region, which places all our key autoclave processing facilities on the common leadership so that we can share best practices. Tim Cribb previously overseeing Reko Diq has moved take over North America. Operational ownership, particularly in Nevada, is back in the hand of the operator. The mine plans have been reviewed from the bottom up and we're entering 2026 with high confidence in our guidance. I'll touch on this work a bit later, but now let me turn it over to Graham to discuss the financial highlights.
Graham Shuttleworth: Thank you, Mark. As most of you will know, this is my last earnings call, and I must say it is a real pleasure to finish on such a high note. Quarter 4 was a record quarter across almost every financial metric. The combination of our sequential increase in production and record high gold prices added to our strong financial foundation and sets us up with a lot of flexibility going forward to continue delivering significant cash returns to shareholders. Shown here on the right, revenues increased 45% from quarter 3, driven by increased production and sales and a 21% increase in our realized gold price. Net earnings nearly doubled from the prior quarter, and we reported record quarterly cash flow, free cash flow, earnings per share and a record cash balance. For the year, we reported $7.7 billion of cash flow from operations and $3.9 billion of free cash flow, up 71% and 194% from a year ago and another company record. When you consider our gold sales volume declined 13% in 2025, with one of our key assets not operating for most of the year, those results are even more impressive and we're excited about the year ahead. Attributable CapEx ended 2025 below the low end of our guidance, as our engineering partners came on board and we refined our spending schedules, particularly at our biggest projects at Reko Diq and Luwmana. The graphs on the right-hand side of this slide highlight Barrick's financial value position. Our attributable EBITDA increased 53% versus the prior quarter on higher margins as the 21% increase in the gold price dropped to the bottom line. Importantly, we steadily increased our attributable EBITDA margin through the year, tracking the gold price higher and demonstrating the operating leverage our business provides to the gold price. All of this enabled the highest annual shareholder returns in Barrick's history with more to come. We ended the year with a net cash position of $2 billion. Building on the capital allocation framework we highlighted last quarter, Barrick's balance sheet is in a phenomenally good shape, and our future capital investment programs are well funded. Suffice to say, Barrick is generating significant excess cash flow in the present environment. As I mentioned earlier, we generated $7.7 billion in operating cash flow of which we reinvested $3 billion back into the business and bought back $1.5 billion of our stock, reducing our share count by 3%. You will recall that with our Q3 results, we increased the base dividend by 25% to $0.125 per quarter. But on the back of the strong annual results, the Board has authorized a further 40% increase to $0.175 per quarter. In addition, the Board has determined that it will target to pay out 50% of attributable free cash flow, incorporating a further discretionary component to reach the target. On this basis, the Board has authorized a Q4 dividend payable in March of $0.42 per share, which is a 140% increase on the quarter 3 dividend. This new policy will replace the previous performance dividend policy. And at the same time, given the focus of cash returns to shareholders through increased dividends, the Board has determined not to renew the annual share buyback program. I will now turn the call back over to Mark.
Mark Hill: Okay. Thanks, Graham. So turning back to our operation and looking first at North America where we had strong performance. Gold production increased 11% from last quarter, driven by a 25% quarter-on-quarter increase at Carlin. Phoenix production hit its guidance range for the year, while Cortez and Turquoise Ridge achieved the top end of their ranges. Importantly, we did not high-grade the operation at the end of the year. We'd rather maintain focus on consistent, disciplined delivery and compliance to our plan. As a result, we are seeing a smoother transition from December into January. This has helped to achieve one of the best starts the year since the NGM joint venture was established. The Carlin roaster had its highest January throughput in the last 5 years. In fact, the new management team and the focus on operational discipline, the processing team at Carlin has delivered its best 60 days since the formation of the joint venture. The underground mines at Carlin, Turquoise Ridge and Goldrush have also had their best January since the joint venture formation in terms of tonnes mined and develop. This performance is exactly what we wanted to achieve from the operational review we highlighted last quarter. The teams have rebuilt their plans from the bottom-up based on achievable metrics. The mines implemented this disciplined approach to their operation, enabling delivery of these solid results in Q4 and now in January. It is also clear that we've experienced challenges attracting and retaining talent at NGM. As a result of that, we have looked at many employment conditions as part of the operational review. We will be adjusting the remuneration framework to help attract and retain the best people. And importantly, will be simplifying the bonus structure at the operational level to focus clearly on safety, our #1 focus for the year and then production costs and growth. We also restructured the executive team, both at the group level and in North America. We've added a Chief Technical Officer, Megan Tibbals and an evaluation team. So this brings stronger operational experience into our senior leadership. PV had a better year with plant throughput up 12% and gold production up 8% from 2024. That said, the recoveries are not where we expected them to be. As we said last year, the main issue is the performance of the weathered stockpile. There is metallurgical inconsistency across those 90 million tonnes of stockpiles, and we are not getting the same results in the plant that we saw in the lab for the initial feasibility study. We undertook extensive test work in 2025, and this will be reflected in the updated 43-101 report, which is due out next month. So although the life mine recovery rate is lower, we have been able to extend the life of 2048, maintaining the total overall ounce produced. Work on the new TSF is progressing well and the housing project is well advanced with more than 600 homes constructed and over 300 families now resettled. So just briefly on Fourmile, which continues to demonstrate potential as a world-class gold asset in Nevada. 2025 was a major derisking year. We successfully delivered on our commitment to double Fourmile's resell at a higher grade. And as you can see from this updated model, there's a lot more to come. The next step will be working on the Bulyanhulu declines which will enable efficient resource convert from underground. So moving down to South America and Asia Pacific region, which included Veladero and Porgera. This region also performed well against its plan in the quarter and the year. Veladero exceeded the top end of its 2025 guidance and be its cost guidance by over $100 an hour. Work is continuing at Veladero to expand the resource. In the same vein, Porgera achieved the top end of its guidance range while keeping costs within guidance, demonstrating strong operational flexibility. So on Africa, Middle East region, they achieved their production guidance and point out for the seventh consecutive year. And as I've said, we successfully resolved the dispute in Mali securing the release of our incarcerated colleague. At Kibali, the ARK discovery delivered significant progress in 2025, adding 3.5 million ounces to resources, including 1 million converted to reserve. Further drilling in 2026 is expected to continue to grow this high potential discovery. North Mara reported a strong finish to 2025 with production in the top half of its 2025 guidance range and Bulyanhulu overcame grade dilution and dewatering challenges in Q4, ending the year within guide. So we regained operational control at Loulo-Gounkoto at the end of the year, and we are ramping up the most accretive areas of the mine. We expect production to steadily increase throughout the year. And lastly, copper. So Luwmana finished the year on a high with production up 11% over Q3, thanks to higher throughput, ending the year with a record high annual production. C1 cash costs were up in the quarter due to the higher maintenance and interim power cost. And the super pit expansion is tracking slightly ahead of schedule with good progress during the quarter on the mill building, which is on the project's critical path. Okay. So let's move over to guidance for 2026. So we expect our gold production to be in the range of 2.9 million to 3.25 million ounces. Our 2025 gold production, as I said, was 3.26 million ounces. But to give you a like-for-like comparison, that's about 3 million ounces if we remove Tongon and Hemlo, which was sold at the end of the year. We expect Loulo-Gounkoto's ramp-up to be the main contributor to production increase in 2026, along with slightly higher production from PV. Carlin in Turquoise Ridge production is expected to be marginally lower due to the open pit sequencing and the grade in the mine plan. Across the year, we're expecting gold production to be split about 45% in the first half and 55% in the second. Higher production in quarters 3 and 4 will come from the ramp-up of Loulo-Gounkoto and Goldrush and the timing of the shutdown at NGM. For copper, we're guiding 190,000 to 220,000 tonnes, which compares to the annual production of 220,000 tonnes in 2025. Production is expected to be highest in quarters 2 and 3 and lowest in Q1, mainly driven by grade of a miner. And looking a bit further ahead, we continue to expect production uplift in 2027 and again in 2028. Turning now to reserves and resources. For our 2025 gold price assumptions we used $1,500 per ounce for reserves and $2,000 per ounce for resources, both modestly higher than last year. And for copper reserves, we used $3.25 per pound and -- sorry, for reserves and $4.50 per pound for resources. So today, Barrick, we hold one of the largest reserve and resource bases in the industry. And as of year-end, Barrick's attributable proven and probable gold reserves totaled 85 million ounce. On the resource side, attributable measured and indicated gold resources totaled 150 million ounces with a further 43 million ounces of inferred resource. While there were declines as a result of divestitures, we continue to see strong organic growth across the assets in Nevada and at PV. Turning briefly to copper. Our pivotal improvement in probable reserves remain stable at 18 million tonnes. Copper resources increased with measured and indicated resources of 24 million tonnes and an additional 4 million-plus tonnes in the inferred category. Overall, our reserve and resource base continues to support long mine lives and a strong production outlook. So just to wrap up, in 2025, we demonstrated disciplined execution, delivering on our operating plan, strengthening our balance sheet and advancing our growth pipeline and returning record cash to shareholders. Looking ahead, we entered 2026 with momentum flexibility and a clear plan for it. So just before we move to the questions, I just want to acknowledge Graham and thanking for his leadership and significant contribution he has made to Barrick over the past 7 years. Under Graham's stewardship, we strengthened our balance sheet, reinforce capital discipline and delivered record financial performance and shareholder return. So on behalf of everyone at Barrick, I want to thank him for his commitment and wish him well in the future. Also as announced Helen Cai will be joining us as CFO on March 1, and I look forward to working with Helen as we continue to execute our growth strategy and drive long-term value for our shareholders. So thank you, everyone, for your continued interest and support. And I will just remind you, I have just about the whole ExCo team sitting around the table with me, so we should be able to manage any questions you have. So I'll hand it back to the moderator.
Operator: [Operator Instructions] Our first question comes from Daniel Major at UBS Securities.
Daniel Major: And just Graham, good luck in the future. My first question just around the IPO potential and really, I guess, it's a question on a strategic level why you believe a partial IPO of NGM and PV would unlock more value than a full separation of those assets from the remainder of the group. I mean if we look at previous examples in the sector, conglomerate discounts exist due to complexity of organizations, and this won't dramatically reduce the complexity of Barrick.
Mark Hill: Okay. Thanks, Dan. I'm going to hand it over to Graham.
Graham Shuttleworth: Thanks, Dan. Dan, I think, as you can imagine, the Board and the team have gone through a lot of different permutations. And you'll recall, we spoke about this last year as well when we first mentioned the opportunities that we were examining. And they've done a lot of analysis and looked at different outcomes, different permutations. And at the end of the day, they feel that this is the best opportunity that's going to drive value uplift for shareholders. We believe that the current portfolio of assets in North America is substantially undervalued within Barrick. And by doing the North American IPO, we'll be able to shine a light on that valuation and that light will then translate into a re-rate for all Barrick shareholders. So that's the focus. That's the intention. And at the end of the day, that was the view from the Board that, that was going to drive the most value of all of those options.
Daniel Major: Okay. And then maybe a follow-up question on what would be the intended proceeds from the IPO.
Graham Shuttleworth: Again, we're in the middle of that process at the moment. There's still a lot of work that's going to have to be done between now and when we go live. And as we indicated, that's likely to be in the fourth quarter. All of that will be determined as part of the preparation work for the IPO.
Daniel Major: Okay. And then just maybe another follow-up on this similar topic. Have you had a discussion with Newmont around the clauses in the JV agreement of pertaining to changes of ownership of the Nevada JV.
Graham Shuttleworth: Thanks, Dan. Yes. As you can imagine, we're very well aware of all of the legal contracts and documents that we have and we would always honor and respect those contracts and documents. We are comfortable with the progress that we're making, and we'll continue to progress down this road.
Daniel Major: Okay. Great. Actually, if I could just get 1 more in Graham, what's the latest on the Reko Diq financing?
Graham Shuttleworth: Thanks, Dan. Yes. I mean, as you saw in the press release, the Board and the management are a little concerned about the security situation on the ground in Balochistan. There's been some escalation in security events there. And as you know, our primary focus on everything we do is the safety and security of our people. And so they've asked us to do a review that situation. And so clearly, as part of that review, we've indicated to the lending consortium that we need to complete that before we can close the financing. So we'll work through that, and then we will take it forward after that.
Operator: Our next question comes from Fahad Tariq at Jefferies.
Fahad Tariq: Mark, right at the outset, you mentioned that in Nevada, you've done a comprehensive mine plan review from the bottom up. Can you maybe talk a little bit more about how that's changed and has been reflected in the updated guidance and maybe particularly on Carlin.
Mark Hill: Okay, sure. I'll give a bit of an introduction, and then I'll hand it actually over to Tim, the new COO. So look, we went back to the teams, and there had been some top-down numbers generated over the last 12 months. And so we just asked the teams to go back and run the mine plans using current productivities that we are actually achieving and then building in obviously upside for productivity improvements only if there was an actual plan and any target to get up to those productivity. So it wasn't just a let's increase things by 10%. Unless there's an actual plan for that continuous improvement than it was taken out. So it's why I said at the end, too, that we have a much higher confidence and certainly in January off to a good start of achieving our guidance. But I'll hand over to Tim, if you want to add anything to that.
Tim Cribb: Yes. Thanks, Mark. I think as Mark said, it's about that certainty in delivery of the plan. So you will see some reductions in some of the mines like you have probably noticed in Carlin. So we do see some of them having a lower production, but we're much more confident in the delivery of that production. And I think as Mark said and as he highlighted in the outset that performance at the Carlin roaster, having a record throughput in the last 60 days since the joint venture was formed. That highlights when you can move to a planned maintenance structure, and we can cut out the interruptions and the reactive maintenance. Overall, we expect to get better results. So I think that's at the core of why we reset these plans and built them on actual past performance.
Fahad Tariq: Okay. Great. And then just on Reko Diq because you were asked about it in the previous question. Is it fair to assume that all options are on the table up to and including divesting the asset?
Mark Hill: I think it's too early to say that. I mean we had the Board meeting yesterday, and they basically asked us to go back and review the project across all areas. So we're in the first stages of that and looking at what we're going to look at and what options we're going to look at. Do you want to add anything to that, Graham.
Operator: Our next question comes from Lawson Winder at Bank of America.
Lawson Winder: If I could ask 1 follow-up on Barrick North America. Is the intention for the Barrick North America to be domiciled in the United States.
Graham Shuttleworth: Again, there's a lot of work going on, on that project. And as it's determined, we'll keep you updated.
Lawson Winder: On capital return, the new dividend policy is very clear and makes a lot of sense. How might share repurchases factor into capital return going forward?
Graham Shuttleworth: At the moment, Lawson, the Board is very clear that they want to focus on dividends. I will say in my experience of engaging with shareholders. This is an area where everybody has a strong opinion. And I know you're never going to please everyone, because some people favor dividends and some favor buybacks. But for now, the Board is very focused on dividends and hence, the reason why they have not renewed the buyback approval.
Lawson Winder: Okay. Very clear. On Veladero, how would you describe that asset in terms of the importance of the overall portfolio? And would you go so far as to describe it as noncore? And have you explored the salability of that asset? And then if so, could Pascua-Lama potentially be packaged as some sort of sale with Veladero.
Graham Shuttleworth: So Lawson, we haven't Veladero is not noncore. And in fact, it's one of our top performing assets in the last 12 months. So we haven't looked at divesting it, if that's what you're asking.
Operator: Our next question comes from Anita Soni of CIBC World Markets.
Anita Soni: So first question, Mark, just moving to PV. I just wanted to understand what the guidance is based on in terms of grades, recoveries given that your -- as you mentioned, the grade the recovery rates are fairly low. I did see you have still some of the blending of stockpiles. Is the plan to take out the stockpiles or continue to forge on with the stockpiles blended in and try to fix the recovery rates with those stockpiles?
Mark Hill: Okay. Well, let me start off the answer and then again, I'll hand it over to Tim. But -- it's obviously, the 90% was in the feasibility study. We're not going to achieve that. We're targeting 84%, but to get to the 84%, we're going to have to the blending and a few other things, right? So we're currently sitting, I think, Tim, around 75%, 76%. And so we'll then ramp up over the next years as we get more confidence in how we blend the stockpiles into the fresh material and what we -- when we can actually get up to that 84%. And there's also some projects we have to do as well. But Tim, do you want to expand on that?
Tim Cribb: Yes. Thanks, Mark. I think the key is to define the projects. We have hatch working with us at the site on the key projects that we can look to delivered the improvement from 76% up to 84%. Those stockpiles do make a key portion of the feed over the coming 3 to 5 years. So it is important that we do optimize that and get the maximum recovery we can from that. The technical report, which is coming out at the end of February, that will obviously have a lot more detail on this. But for the long assumption, we have basically updated the full recovery model to incorporate this latest test work. So we've ran that through the life of the mine.
Graham Shuttleworth: Sorry, just to reiterate that the updated 43-101, which will obviously have all of this information will be available at the end of February.
Anita Soni: Right. And I guess the question that I had as a follow-up for that part of it is do you expect to retain all of the ounces that you've reported in the reserve resource statement at year-end in that 43-101 or will that potentially take some of the ounces out?
Graham Shuttleworth: No, no, we expect to maintain, Tim correct?
Tim Cribb: Yes.
Graham Shuttleworth: Yes.
Anita Soni: Okay. And then my second question was just with respect to the IPO. I know you're saying you'll have an update at year-end on that -- sorry, it will be completed by year-end. But could you give us an idea of what portion of the -- of Nevada Gold Mines and Fourmile North American assets? What portion of those assets do you intend to IPO? I have heard ranges between 10% to 15% and north of 30%, but I'm not sure what you guys are doing?
Mark Hill: I think it's fair to say to be on the lower end of that and be a minority part of those assets.
Anita Soni: So 10% more along the lines of 10% to 15%?
Mark Hill: Sure, yes.
Operator: Our next question comes from Bennett Moore at JPMorgan.
Bennett Moore: I wanted to come to Mali. And since gaining control back there, what is the dialogue been with the government? And what are the state of the assets? And is there any incremental investment required there?
Mark Hill: Okay. Ben. Let me hand it over to Seth, if he can give us an update.
Unknown Executive: Bennett, we -- the relationship is really at a reset and the engagement so far has been really positive. We took control of the asset on the 16th of December. It was actually in much better shape than we expected. So we started all feeding lower-grade stockpiles and at this point, we've now started up all 3 of the underground mines, and we are ramping up the open pit, which we expect to be doing that in the second half of this year. And so the focus is really on getting that ramp up in a safe manner and so that we can achieve our historical run rates by the end of this year. And so you would have seen in our in our guidance that for Loulo-Gounkoto, this year, we are guiding between 260,000, and 290,000 ounces attributable.
Bennett Moore: And now with the employees no longer detained and they were seemingly behind. Just wanted to get your latest thoughts on a potential asset sale there. Have you seen any interest or dialogue from other parties?
Unknown Executive: Now I think at this point, the focus is really on ramping up that mine and restoring the relationship and everyone's really committed to do that.
Operator: Our next question comes from Carey MacRury at Canaccord Genuity.
Carey MacRury: Yes. Just coming back to the IPO. Just wondering about the timing. I mean production in Nevada has come down pretty much consistently every year. It looks like it will be lower again this year. So just wondering why now and not when Nevada looks a bit more stabilized.
Mark Hill: Okay. So look, Kerry, this is Mark. I'll spend a lot of time in Nevada over the last 4 months, as you can imagine. So I think Nevada is stabilized. And I think what we've demonstrated in a very short time, far quicker than I thought that we have given control back to the general manager. We have a very strong team in Nevada like we've had for 20 years. And you've seen the performance in Q4 and January is even stronger. Again, as I said, I think the best January we've had in 5 years. So I am completely comfortable they're going to deliver this year every quarter, which you're going to see before we go to this IPO. And I think we're now in a position where we won't disappoint and that production over time will actually grow. And again, Tim, anyone else, feel free to chime in if you got anything else.
Carey MacRury: Okay. And maybe just on the 2027 outlook, if you can just sort of walk through sort of the big -- what's moving from 2026 to 2027?
Graham Shuttleworth: Is that -- sorry, Carey, is that for the group or at NGM.
Carey MacRury: No, on the group level.
Graham Shuttleworth: Yes. So the biggest move is really our continued to increase at Loulo-Gounkoto and a small increase at Nevada and then an increase in PV. So those are the 3 key areas.
Operator: Our next question comes from Josh Wolfson at RBC Capital Markets.
Joshua Wolfson: I noticed the new guidance methodology doesn't include costs or CapEx indications for the next couple of years. The historical guidance of the company did indicate that there was a cost reduction over time. How should we think about costs going forward after 2026?
Mark Hill: Graham, do you want to address that?
Graham Shuttleworth: Yes. I mean, Josh, obviously, we didn't give you guidance. So I'm not about to give you guidance now. But I think broadly, I would say flat would probably be a better way of thinking about it.
Joshua Wolfson: And then another question on the IPO. I'm wondering how is the company thinking about the management of NewCo and what sort of governance rights will Barrick have with the stake given it still will be controlling. And then sort of along those lines, how is the company ensuring that both Barrick shareholders will be aligned with the NewCo shareholders?
Mark Hill: Well, Josh, I think it's too early to say. I mean we're starting a 9-month process. And as I said, we'll keep you updated as we move along. But I haven't got the answers to those questions at the moment..
Operator: Our next question comes from Martin Pradier at Veritas.
Martin Pradier: My question is, if you can unpack a little bit the big cost increase from this year from the outlook compared to 2025. What are the big drivers, if you can provide some color for gold and for copper, please?
Graham Shuttleworth: Thanks, Martin. Really, there's sort of 3 buckets, 2 of which are the most significant. The first one is the gold price assumption.
Operator: [Operator Instructions] Our next question comes from John Tumazos at Very Independent Research.
John Tumazos: Barrick sold 31 million ounces of gold resources for $2.55 billion or $82 an ounce. Will you sell any more gold? Is it because you don't have enough managers for all of your properties? Or would you reverse course and buy gold to offset the gold you sold?
Graham Shuttleworth: John, I think it's not a question of just selling gold for the sake of selling gold. It's really about focusing on a strategy. Our strategy has always been to focus on our Tier 1 high-quality assets. And the dispositions that we've made have been in respect of those assets that didn't fit that strategic filter. So we have definitely continued to invest in gold going forward in line with our strategy. We definitely believe in gold and the focus of this company going forward is very much around gold. But it's within the constraints of the strategy.
Operator: [Operator Instructions] This concludes our Q&A session. Back to Cleve for any closing remarks.
Cleveland Rueckert: Great. Thank you, everyone, for joining us today. We look forward to speaking with you again on our first quarter results call in May. Please get in touch with us if you have any further follow-up questions. Thanks again.
Graham Shuttleworth: Thanks, everyone.